Operator: Good morning. My name is Chris, and I’ll be your conference operator today. At this time I would like to welcome everyone to the Hartford second quarter 2015 financial results conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Sabra Purtill, Head of Investor Relations, you may begin your conference.
Sabra Purtill: Good morning and welcome, everyone, to the Hartford second quarter webcast. Our news release investor financial supplement second quarter financial results presentation and 10-Q were all released yesterday afternoon and are posted on our website. Our speakers today include Christopher Swift, Chairman and CEO of The Hartford, Douglas Elliot, President, and Beth Bombara, CFO. Following their prepared remarks, we will have about 30 minutes for Q&A. Just a few notes before Chris begins. Today’s call includes forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance and actual results could be materially different. We do not assume any obligation to update forward looking statements and investors should consider the risks and uncertainties that could cause actual results to differ from these statements. A detailed description of those risks and uncertainties can be found in our SEC filings, which are available on our website. Our presentation today also includes several non-GAAP financial measures. Explanations and reconciliations of these measures to the comparable GAAP measure are included in our SEC filings as well as in the news release and financial supplement. I’ll now turn the call over to Chris.
Christopher Swift: Thank you, Sabra, and good morning, everyone. Welcome to the call. Last night we reported strong financial and operational performance for the second quarter of 2015, completing a successful first half of the year. We continue to navigate in a dynamic market environment and reported improved results across all of our businesses. Core earnings per diluted share for the second quarter was $0.91, a significant increase compared with the prior year. P&C, Group Benefits, and Mutual Funds each delivered better operating margins in top line growth this quarter. This quarter’s strong performance contributed to a 12-month core earnings ROE of 9.6%. The quarter also included net favorable items compared with last year, including higher limited partnership income, lower CATs, a federal tax benefit, lower A&E reserved strengthening and a favorable litigation outcome. Even when adjusting for these items, underlying results were strong. Doug will provide more details on P&C and Group Benefits in a few minutes, but I’d like to share with you a few highlights from the quarter. In P&C, our combined ratio when adjusted for CATs in prior year development was 88.9, a 3.8 improvement over the second quarter of 2014. We are especially pleased to see improved underwriting results in both commercial and personal lines. In group benefits, the results reflect our focus on new business generation in disciplined underwriting. Sales increased 29% and after-tax core earnings margin increased to 6.3%. We continue to successfully manage the runoff of Talcott with year-over-year declines in variable and fixed annuity contract accounts of 12% and 11% respectively since June 2014. In addition to strong earnings, we are also pleased to announce that our Board of Directors approved an increase in the company’s capital management plan and extended it through December 2016. Beth will review the details in a few moments. The plan reflects the successful strategic and financial transformation of the company including a sharpened focus on P&C, Group Benefits, and Mutual Funds businesses. Since the beginning of 2014, we have returned to shareholders more than $2.8 billion of capital. With the increase in this plan, we intend to return nearly 5.3 billion in share repurchases income and dividends over the three-year period ending 2016. Our primary focus going forward continues to be on the profitable expansion of P&C, Group Benefits, and Mutual Funds business where is we hold competitive market positions. As you know, we have been investing aggressively in these businesses with the goal of improving operating capabilities. This effort includes a significant upgrade in technology such as our market leading small commercial icon system and the recent introduction of a new claims platform. And we have additional upgrades planned. As we consider management of excess capital in the future, we will prioritize opportunities that accelerate our premium growth and operating capabilities. In the event that we do not find opportunities that meet our strategic and financial objectives, we will continue to return excess capital to shareholders. Looking forward, I am confident that we have the right strategy, capabilities, and people required to successfully compete in a dynamic market environment. The Hartford strategy is focused on four areas. First is product expansion. We continue to expand our products to meet a broader range of policyholder risk needs. We are also participating more deeply in targeted industries and extending our risk selection capabilities. The second is distribution effectiveness. We are actively expanding The Hartford’s commercial line sales and underwriting presence in key geographies, particularly in the west and Midwest. This expansion, supported by enhanced marketing efforts and rigorous sales execution, is driving better outcomes. Third, we continue to improve the customer experience and the operating capabilities of our company through things like process efficiency improvements, technology upgrades, and digital access. And fourth, we continue to invest in talent. We are proud of our employees, and we are working diligently to attract, retain, and develop the best talent in the industry. For example, we recently hired Mo Tooker as our Chief Underwriting Officer for the P&C businesses and added two new executives to compliment the Personal Lines team, Mary Boyd and Casey Campbell. Like the rest of you, we are closely watching developments across the industry including recent M&A activities. These activities certainly have repercussions on our markets. While change brings risk, it also brings opportunity. We are prepared to address and benefit from opportunities that arise, particularly those that fit our primary focus of expanding products, increasing distribution effectiveness, improving the customer experience in our operating capabilities, and becoming a destination for great talent. As I reflect on my first full-year as CEO, I am appreciative of the many contributions that our Hartford’s employees make every day. What makes The Hartford special is our strong character. Throughout the past year, we have received numerous accolades for ethical conduct, risk management, governance, and diversity in inclusion practices, and those attributes are incredibly important us to. In conclusion, we are well positioned to achieve continued success, and we remain focused and our goal of increasing ROE and book value per share to drive shareholder value creation. Thank you. And now I’ll turn the call over to Doug.
Douglas Elliot: Thanks, Chris, and good morning, everyone. Our Property and Casualty and Group Benefits businesses posted strong bottom line results for the second quarter. Favorable property experience for both catastrophe and non-catastrophe losses was a significant contributor to earnings. In other lines, our businesses produced solid margins consistent with recent quarters as loss trends remain benign. With the benefit of strong retention, we also delivered solid top line growth. Favorable weather patterns were clearly the primary force behind our outstanding property results. While we have been increasing our property capabilities in recent years and I am confident that our improved acumen and risk selection and analytics is an important driver for our long-term success, we know that quarter to quarter results will be subject to the presence or absence of severe weather. A well-balanced product mix that includes property is a competitive advantage with customers and agents, and we remain steady on our long-term strategic goals in this line of business. Competitive dynamics across all our businesses are largely unchanged from last quarter. As I commented then, adequately priced new business opportunities are more limited, and we remain disciplined in our risk selection approach. We continue to find success in our local relationships with agents and brokers, and we have been investing in sales and underwriting professionals along with our product and technology capabilities to improve our market position. I’ll provide some additional insights on this as I share the second quarter performance of our individual business units. In Commercial Lines, core earnings was $264 million, with a combined ratio of 92.2%. This was an earnings increase of $51 million from second quarter 2014, largely driven by favorable property experience, margin improvement in workers’ compensation, and higher net investment income. Renewal written pricing and standard commercial lines was 3% for the quarter, essentially flat with the first quarter of 2015 and down two points from second quarter last year. Pricing continues to be strongest in commercial auto where our profit improvement remains a focus. Trends in workers’ compensation pricing are generally in line with first quarter as we execute a very disciplined strategy to retain our best performing business at margins that meet or exceed our return targets. Catastrophe losses for second quarter 2015 were slightly higher than a year ago, but below our expectations. In small Commercial, written premium grew 4% in the quarter driven mainly by strong policy retention as the new business growth rate has slowed somewhat in recent quarters due to competitive forces. The underlying combined ratio excluding catastrophes and prior year development was an outstanding 85.1%. The decrease of 2 1/2 points versus a year ago is the result of lower non-cap property losses and improved workers’ compensation margins. We’re very pleased with our sustained performance in this business. Our strong written premium growth rate and profit margins have been very resilient as our underwriting and pricing analytics have helped to guide our book up business management actions. In mail market, we posted a strong quarter with an underlying combined ratio of 89.3%, improving 8.3 points versus second quarter 2014. Much like in small Commercial the improvement is coming primarily from excellent non-cap property experience with contribution from margin improvement and workers’ compensation. A large portion of the favorable property result came from our marine business where we had an excellent second quarter. Written premium growth was 8% driven by strong retention in workers’ compensation and increased new business in both construction and marine. We’re pleased with recent success in these industry targeted businesses as they are a strategic focus for us. This is a positive indication of the traction we’re gaining in the market as a result of talent and product investments made over the last several years. Since earlier this year we have been adding underwriters in regions where we believe we can cultivate agency partnerships and compete effectively for new business. This is a longer term strategy for growth, and it will take time to build momentum in these local markets. However, we believe it is the right time to be investing in talent, to put our improved product and technology platform to even greater use in the market, and develop new books of profitable business. In specialty Commercial the underlying combined ratio was 98.8% versus 101.5% in the prior year. The three main businesses comprising specialty commercial are all operating within our target return range. We posted solid top line growth of 4%, while margin improvement was driven by improved loss experience in financial products and a mixed shift in our results toward bond with a smaller capped business. In personal lines, core earnings was $42 million for the quarter versus last year’s $27 million loss. Much of this improvement is due to favorable catastrophes which are down this year by $64 million pre-tax. In addition, we had significant improvement in our non-catastrophe homeowner losses versus last year when we experienced elevated homeowner fire losses. Comparatively, fire loss this is year were at their lowest level in the last five years, and $11 million of the improvement in core earnings was due to a favorable resolution of outstanding litigation. The underlying combined ratio of 89.1% improved two points from last year, largely driven by the homeowner results I just described, partially offset by a slight uptick in auto liability severity. In addition, we’ve been closely monitoring increased auto physical damage severity, having begun to see adverse trends several quarters ago. Industry trends in early 2015 also appeared to be somewhat elevated. We have identified several opportunities for improvement to our physical damage claim practices and have taken action. Our early observations from these initiatives indicate that we’re driving improved outcomes, particularly in areas such as subrogation and total loss management. Total written premium for the quarter grew 1%, including 1% growth in ARP direct and 14% growth in ARP agency. We continue to be encouraged by the growth and solid margins of our AARP business. On the direct side, new business increased by 4%. In other agency, written premium was down 9% versus second quarter 2014. We’re aligning ourselves with highly partnered agents who seek to deliver competitive yet value-based products and services to their customers. As we move in this direction, there’ll be some agents and customers that do not match our profile and may seek other options. Shifting over to Group Benefits, core earnings in the second quarter was 56 million, up 8% over prior year, achieving a core earnings margin of 6.3%. The increase is primarily attributable to top line growth and a lower expense ratio compared to prior year. Earn premiums excluding association, financial institutions was up 5% in the quarter, driven by growth in our employer group life and disability lines. For the quarter, fully insured ongoing sales of 58 million, up 13 million from prior year, as we continue to have success marketing our differentiated service offering. In addition, our employer group business continues to maintain strong book persistency around 90% on an annualized basis. The overall loss ratio was essentially flat to prior year. Improvement in the Group disability loss ratio was largely offset by less favorable mortality in group life, which looks to be a function of normal volatility in the line. This is another excellent quarter for Group Benefits. Markets remain competitive and we’re performing well in all assets of our business. We are well positioned with strong book persistency and improved capabilities, allowing us to compete for new accounts. And we’re executing on plan initiatives for our voluntary platform, further enhancing our value proposition. With that, let me conclude my comments by reiterating that we had a strong second quarter. We enjoy favorable results from catastrophe and non-catastrophe property losses, and the performance of other lines of business remain strong. Across our Property and Casualty and Group Benefit businesses, we have strengthened our products, technology, and talent. Over the last six months we have attracted a number of experienced industry leaders to our team who will help drive our near-term execution and our long-term strategic objectives. We are confident that the business platform we’ve been building in recent years will serve us well as we balance growth and profitability for the long term. Let me now turn the call over to Beth.
Beth Bombara: Thank you, Doug. I’m going to briefly cover results for the other segments and investments, and will then review our updated capital management plan. In addition to Commercial and personal lines, P&C includes the P&C other operation segment, which has a block of runoff liabilities, including asbestos and environmental. Core losses in this segment were 113 million in the quarter, down from losses of 146 million in the second quarter of 2014, due to lower reserve strengthening on our A&E reserves. As many of you know, we complete the annual ground-up A&E reserve study in the second quarter. As a result of this year’s study on a pre-tax basis, we strengthened our net reserves by 146 million for asbestos and by 52 million for environmental or a total of 198 million. This is down from 2014 when we had net reserve strengthening of 239 million, comprised of 212 million for asbestos and 27 million for environmental. The asbestos reserve strengthening reflects lower than projected improvement in new mesothelioma claims for a handful of our peripheral accounts, less than 20 out of more than 1,100. The remainder of the accounts are trending in line with the assumptions used to set our reserves. The environmental reserve strengthening was driven by higher new claim severity, including at a handful of super-fund sites but frequency has declined. We are often asked why we haven’t done an A&E reinsurance deal. We evaluate options for A&E periodically, but to date these deals have not been cost effective, taking into account many factors, including the value we add by continuing to manage these claims ourselves, the price charged by potential reinsurers, the lack of a full assumption reinsurance or sale option, and the potential loss of investment income. Last year investment income in the P&C other segment totaled 129 million before tax. Notwithstanding another year of adverse development on the A&E book, we believe that we can create a better outcome for shareholders if we continue to manage this book ourselves. We will, of course, continue to consider alternatives for these exposures as options and costs could change. Turning to the financial results of our other segments, Mutual Funds core earnings rose 5% in the second quarter, primarily due to higher fee income on increased average assets under management, excluding Talcott variable annuity funds. As expected, Talcott-related AUM continue to run off, which reduced the segment’s total AUM over the past year. Fund performance remains solid this quarter, with 69% of funds outperforming peers over the last five years, helping to improve net flows to a positive 250 million in the quarter. For the first half of 2015, net positive flows totaled 779 million, the strongest net flow performance since 2010. Talcott posted very strong core earnings of 171 million this quarter, well above our expectations because of a 48 million federal tax benefit and higher investment income, largely from very good returns on limited partnerships. Driven by private equity and real estate funds, limited partnership returns have been very strong this year, running at more than double the rate we used in our February outlook. Talcott’s annuity contract counts continue to decline. Our ISB program added slightly to the fixed annuity runoff, while variable annuity runoff was a more normal level since we did not have a surrender focused contract holder initiative this quarter. We continue to evaluate contract holder initiatives and other programs that can help decelerate the decline in these books of business. In July, Talcott paid the second 500 million dividend of the year, bringing the total to 1 billion. We expect another 500 million in early 2016. Corporate segment second quarter 2015 core losses declined compared with the prior year and with the first quarter largely due to lower interest expense as a result of debt repayments. We expect interest expense to decrease in the second half, due to the second quarter bond call and the fourth quarter 167 million debt maturity. For the full-year, interest expense excluding the impact of any debt tenders or repurchases is expected to be about 357 million, down 5% from 2014. Turning to investments, the credit performance of our portfolio remains strong with a modest 11 million of impairments during the quarter. Our annualized portfolio yield excluding limited partnerships was 4.1%, and continues to hold up reasonably well despite the headwinds from low interest rates. New money yields remain low, although within the range we expected for the year, which will continue to put downward pressure on investment income and yields as higher yielding investments mature and are reinvested at lower returns. Helping offset this somewhat, similar to the first quarter, we had higher levels of income from fixed income make whole premiums and other non-routine items, and also from limited partnerships whose annualized yield was about 13% in the quarter. To wrap up on our results, we had a strong quarter with consolidated core earnings per diluted share up significantly and a 12-month roll-in core earnings ROE of 9.6%, both reflecting lower caps, strong limited partnership income, a few favorable tax and other items, partially offset by unfavorable prior year development. Excluding net unfavorable items from both periods, core earnings per diluted share was up 66% over second quarter 2014. In addition, book value per diluted share, excluding AOCI, also rose up 4% from year end 2014 and 8% from June 30th, 2014. Reflecting net growth in shareholders equity excluding AOCI and the accretive impact of the equity repurchase program. Outstanding and diluted shares have decreased by 9% since June 30, 2014 as a result of the equity repurchase program. Before turning to Q&A, I’d like to wrap up by reviewing our capital management plan. As announced last night, the equity repurchase authorization was increased by 1.6 billion and extended through year end 2016. This provides us a slightly more than 2 billion of equity repurchase authorization for the balance of 2015 and 2016. We currently expect to use this amount ratably over the period subject to market conditions and other factors. Yesterday’s increase brings the total equity repurchase authorization to nearly 4.4 billion for 2014 through 2016. Debt reduction remains part of our capital management plan, as we strive to reduce our rating agency adjusted debt to total capital ratio to the low 20’s, over time. Yesterday, we announced that we intend to repay the 2016 debt maturity of 275 million. As previously stated, we intend to repay the 167 million issue that matures in November of this year. In addition, we have 180 million remaining under the current debt management plan, which was extended through December 31, 2016. When and how we will utilize that portion will depend on various factors, including market conditions. The increase in the capital management plan will be funded by current holding company funds, as well as future dividends from the operating subsidiaries and other sources. During July, we have received about 900 million in dividends for the holding company, including 500 million funded by Talcott. For the remainder of the year, we expect approximately 300 million in dividends from subsidiaries for a total of about 1.9 billion for the year, unchanged from our February projections. In 2016, our current outlook is for about 1.9 billion of subsidiary dividends and other cash flows to the holding company, including 800 million in dividends from the P&C companies. Finally, recognizing the strong improvement in our P&C group benefits and Mutual Funds earnings, the board authorized a 17% increase in the quarterly common dividend to $0.21 a share, effective with the October dividend payment. Including the impact of share repurchases, we expect to pay dividends of about 330 million over the next 12 months, or about 30% of trailing 12-months consolidated net income, excluding Talcott. Combined with our equity repurchase plan, we are clearly delivering a substantial amount of excess capital back to shareholders. As Chris discussed, with our strategic and financial transformation largely complete, our priority for excess capital utilization going forward is to find opportunities to invest in our businesses, helping to drive premium and earnings growth and expand our capabilities. We will continue to evaluate capital management options as it remains a good tool that we can use to return excess capital to shareholders in the event that we do not find opportunities that meet our overall objectives. I will call over to Sabra so we can begin the Q&A session.
Sabra Purtill: Thank you, Beth. Before beginning the Q&A session, I would like to remind you all that consistent with past practice and company policy, we do not comment on market rumors or speculation. We appreciate your keeping that in mind so the Q&A session can be productive for everyone on the call. Chris, could you please repeat the Q&A instructions?
Operator: I certainly can. [Operator Instructions] Our first question is from Michael Nannizzi with Goldman Sachs. Your line is open.
Michael Nannizzi: Thank you. Beth, just wanted to sort of go back just a comment that you made there. So for 2016 you said the current outlook is 1.9 billion in dividends including 800 million from the sub. So am I missing something? Where is the other 1.8 billion coming from?
Beth Bombara: Sure, Mike. So, as you recall, I mentioned that we do anticipate getting $500 million of dividends from Talcott in early 2016.
Michael Nannizzi: Yup.
Beth Bombara: So that would be included. And we also expect dividends from Group Benefits and Mutual Funds. And similar to this past year, we would expect to have favorable tax receipts at the holding company as well. And all of that comprises the 1.9 billion that I mentioned.
Michael Nannizzi: Got it. That’s great. Thanks for that. And then maybe for Doug, can you break out-- is it possible to break out the margin improvement that we saw in both small commercial and Middle Markets. It can from either the favorable [indiscernible] weather or underlying margin improvement related to comp?
Douglas Elliot: Mike, let me try to give you a little bit of color. You’re right. It was a very good Property quarter and workers’ comp too. It was about four points in Middle Market and a little bit less than that in small commercial and just in terms of the margin improvement in that line of business.
Michael Nannizzi: Okay, so those points you mentioned are related to the property and the remainder would then be related to workers’ comp?
Douglas Elliot: Those are the two line drivers, yes.
Michael Nannizzi: Okay. Okay. And then in homeowners, would it be possible to quantify the - or just give us some marker around the impact of the favorable fire losses on the underlying?
Douglas Elliot: I can do that. You obviously get the CAT numbers and you can see that the CATs are down Q to Q seven points from last year. The fire losses, as I mentioned, were down to the lowest level in the last five years. I think we’re about five to seven points less than the higher years during that five year period. So I would use as a gauge inside our non-CAT property element.
Michael Nannizzi: Okay, got it. Great. And then the last question, I guess, on the other agency business, obviously premiums there is have declined. I’m guessing that that’s because of maybe not acceptable levels of profitability. Can you talk a little bit about kind of what’s happening there in terms of your profitability? And what actions you are taking and seems like the prudent thing to do, but just to get an idea where that is relative to your AARP business, for example. Thanks.
Douglas Elliot: Sure. Mike, a few things, one is, and we’re working all angles of this. We’re working on tuning our open road product which is our new auto class plan, so those tuning requirements continue throughout the country. We are investing and working hard on our homeowner’s product, probably a little bit more going forward than over the last three to four years. We think Homeowners is an important line relative to our personalized strategy, so a lot of work going on in homeowners. Clearly challenged in the agency space thinking about how we compete and looking for partners that are willing to work with us, work on a value prop play. We have been tuning that segment and will continue to tune. We do feel good about progress. Very pleased with our overall return efforts, but also want to see if we can get the top line moving in a little bit more positive direction.
Michael Nannizzi: Great. Thanks so much.
Douglas Elliot: Thank you.
Operator: The next question is from John Nadel with Piper Jaffray. Your line is open.
John Nadel: Hi. Good morning everybody. Doug, maybe just a quick follow-up. I understand the following up on Mike’s question about the favorable weather and the impact that that had. Can you just sort of characterize that for the commercial segment overall as well as for the personal line segment overall? Significant accident year-loss ratio improvement, but just wondering what you think the actual underlying sustainable level of improvement really is. Recognizing, you know, each quarter can be somewhat volatile.
Douglas Elliot: Yeah, John, the underlying in small, again, really across all our commercial businesses on property was probably several points less than sustainable. That doesn’t mean that we haven’t seen improvement, but I would say two to three points. When I look at our spectrum product in small commercial, a couple of points under where we have been the last second quarters of prior years, and really the key property business has performed pretty consistently the last couple of years. So at consistent levels but at solid levels. I like our loss performance, I think both [indiscernible] and CAT are in very good shape, but probably a couple of points better than a run rate perspective.
John Nadel: Got it. Okay. That is really helpful, thanks. And then maybe a question for you, Chris. I appreciate certainly the improvement that we have seen in the underlying fundamentals, the improvement in the balance sheet, etc., and the commentary about seeking opportunities to accelerate growth. I’m curious because it still appears that there’s a reasonable amount of financial flexibility and conservatism in your updated capital outlook. And so the question for you is this, do you think really buybacks versus potential acquisitions to accelerate growth have to be a mutually exclusive concept, or do you believe you have the capacity to pursue both?
Christopher Swift: John, thanks for the question. I wouldn’t exclude one or the other at this point. I think you have seen our history and track record, particularly working to improve our financial position and deliver the firm, and obviously reward shareholders with accretive capital management. So the way we think about is we announced a plan through 2016. That is our intention. It is our highest and best use of excess capital, but I think what we were trying to signal is a little bit of an inflection point because we feel we’re in a different place. We’re in a different company today. And we can be a little bit more offensive minded about opportunities in the marketplace.
John Nadel: Totally appreciate that. And I guess just a quick follow-up along those lines, Chris. Any specific areas within P&C or even on the Group insurance side that you feel like are areas where you want to expand, where you want to be able to find that faster pace of growth, where you maybe lack some scale today?
Christopher Swift: John, I think we think about opportunities across all our businesses. I mean, you mentioned a couple, but in Commercial, you really think about two main themes. If you’ve heard Doug and I and Beth continually talking about adding product and underwriting capabilities to the platform, being a deeper and broader risk player. That’s really what we mean in growing our future capabilities and industry verticals. So we think of specialty in that area. We think, in terms of larger parts of the U.S. economy, maybe we haven’t participated as deeply as I think we can or should.
John Nadel: Okay.
Christopher Swift: You referenced and you heard Doug talk about marine construction, real estate, infrastructure related. Those are the types of things we talk about as far as the real economy and expanding. And along with our geographic penetration and focus. So, anything along those lines, in Commercial, would be very intriguing to us. And you mentioned Group Benefits. If I really look at our platform, I would say we gear it more towards a national or large account platform. Very balanced LTD, STD and Life business. About 50% of premiums in each of those categories. So, if there were opportunities in the small and medium case segments, and folks that potentially could accelerate the pace of our voluntary sales growth, those are the things we would think about there.
John Nadel: Okay.
Christopher Swift: And then, lastly, in Personal Lines. Look, we don’t aspire to be a broad market player, but we think we have unique skills and capabilities in direct marketing, in sort of those niche areas. And we think in those terms, John, if there were opportunities to use our brand and direct marketing skills in our wonderful claim skills. So that’s just to give you a little bit more of a flavor.
John Nadel: I really appreciate the color. Thanks very much, Chris.
Christopher Swift: John, just a last point there. I think in all of this and, hopefully, you of all people know, and others, is that we continue to be very thoughtful. I would say disciplined and deliberate in this area. Just knowing where we’re coming from and how we want to use shareholders’ capital in the most prudent fashion, going forward. But we did signal a change this quarter.
John Nadel: Yeah, no question, Chris. I have a lot of confidence. So, thank you.
Operator: The next question is from Meyer Shields of KBW. Your line is open.
Meyer Shields: Thanks. Good morning. Two quick questions I think for Doug. One, within the overall 3% standard commercial rate increases, is there a difference between the property and liability lines?
Douglas Elliot: Meyer, all the lines do have their own nuances to them. As I mentioned, Auto is right now achieving more rate across Commercial than other lines. So that’s the lead line. Workers’ compensation has been a bit more under pressure over the last couple of quarters. And even between small and middle, there are nuances. So, yes, very different dynamics across the lines. But, in general, pleased we still see rational competition. Maybe a bit more pressure, but I am very pleased about what we put up this second quarter, and feel good about our efforts first half of the year.
Meyer Shields: Okay. And can you talk a little bit about the adverse developments in Commercial, besides the asbestos environmental, in terms of what was going on there?
Beth Bombara: I will take that. This is Beth. We had very modest adverse development, excluding A&E. We had some favorable development in our workers’ comp lines, which is offset a little bit by unfavorable development as it relates to the discount on workers’ comp reserve, which reflects the fact that as we’ve been settling claims at a faster pace, the amount of actual discount that you have in the reserve changes. And then, the other aspects were really just small puts and takes across the various lines. Really nothing that is worthy of calling out.
Meyer Shields: Okay. Perfect. Thanks so much.
Operator: The next question is from Brian Meredith with UBS. Your line is open.
Brian Meredith: Yeah, good morning, Chris. I’m just wondering, can you talk a little more about, when you are evaluating financial acquisitions, kind of the financial benchmarks that you are going to be looking at? Be it, IRR’s, return invested capital, how it relates to share buyback and those types of things? Tangible book value, dilution.
Christopher Swift: Brian, yeah, happy to. I think, a couple points. One, first, any acquisition opportunity first needs to be strategic and financially compelling to make sense. I think, second, we also think about it when we talk internally of the comparison to building organically, because largely what we have been doing is an organic focus. So an acquisition needs to be weighed generally in terms with an organic build. And those organic builds require an investment, requires timelines, obviously patience because it won’t happen overnight. So, you sort of weigh all that to sort of see would an acquisition opportunity really accelerate our growth and make sense. I think also, too, really since our transformation, we really driven down our cost of equity capital, reduced our leverage, improved our valuation. So, I think today we have greater flexibility to think about acquisitions. And, ultimately, we view it as a ROI or IOR type of analysis where it needs to add value over a longer period of time and exceed our cost of equity capital today or else we won’t do it. And I think from there then the historical metrics of EPS and book value per share will emerge in the accounting records that I think then will create value over a longer period of time for shareholders. So, as I said to John, we continue to be very thoughtful, disciplined, and deliberate in this area. So that’s how we’re thinking.
Brian Meredith: And do you relate it all to share buyback and thoughts on return, share buyback versus M&A, organic growth?
Christopher Swift: It’s part of the overall equation, but, again, from a strategic side when we’re trying to grow our capabilities and grow our earnings, that also needs to be weighed in because by itself, share buybacks don’t increase the nominal dollars of earnings going forward. So, but we do weigh that all very carefully, Brian.
Brian Meredith: Great. Thanks. And then just one quick follow-up for Doug. The investment spend that you’ve been doing the last couple of years, system build-out (audio breaks up), those types of things, where do we stand in that kind of process as far as expenses, and how much longer do you think it’s going to be a drag on the expense ratio?
Douglas Elliot: Brian, when I think about our invest, I think about it over a longer period of time. So, I don’t think about it in spurts of quarters. This is a long-term process. I know we shared quite a bit of that progress in Charlotte with the investor day in June. We’ve got some of those invests going on in Middle. Yes, a little bit of pressure on the expense ratio, but I look back at where we are in kind of our quarterly expense and our annual expense targets, and I think about what’s happening through the bottom line in our margins. I’m comfortable with those invests, and actually see them over a longer period of time than I do over just 2015 or 2016.
Brian Meredith: Great. Thank you.
Christopher Swift: Brian, it’s Chris. I think just another thing you need to think in terms of is, and I’m not sure where the industry stands in totality. All I can speak from is our company, but we really do need to modernize our tools, capabilities, infrastructure, digital content, and as Doug said, this isn’t a simple one and done over the next 12 to 18 months here. This is a commitment to fundamentally improve our customer facing, exchanges, interfaces, for the long term. So we’re going to be disciplined about expense management, but on the invest side we’re over clubbing to really improve our capabilities in this area. So, I think we are balancing the best way we can in this dynamics, but make no mistake about it, we’re committed to fundamentally improving our infrastructure and capabilities to improve our customer experiences.
Brian Meredith: Great. Thank you.
Operator: The next question is from Erik Bass of Citigroup. Your line is open.
Erik Bass: Hi. Thank you. In Group Benefits you continue to have nice growth momentum. So, I was just hoping you could talk a little bit more about the competitive dynamics in the market and how much of your growth is coming from new products and your expanded voluntary product set.
Douglas Elliot: Erik, hi, this is Doug. A couple of thoughts about it. Really we had a terrific start to 2015, so we’re encouraged about that progress and really feel like we have priced our way through the challenges of two or three years ago, so that is in the rear-view mirror. As I look ahead, there are strong competitors around us, but I feel good about our ability to earn our way into the finals, and we’ve won our share. Inside our new sales, there’s a positive story both on new customer, but there also is a positive story on growing inside our current customers with at issue sales in addition to where we were last year with that current customer. So that’s point number two. And then lastly, voluntary has been an important part of our strategic grow these last couple of years, particularly just getting the product ready to meet the street. I think we feel good that we were able to work those 11-15 and now into 15 with the accounts with our abilities in the voluntary area. It is slow, it’s probably a little slower than Chris and I thought it might be. As we finish the year, our sales probably in the voluntary area will be just in the GAAP product area probably under 10 million for the year, but what’s important is that we’re able to be at the table with customers that demand that as part of their suite. And I think we’re there today, and a couple of years ago I was not able to say that.
Erik Bass: Thank you. And then just a quick one for Beth. You mentioned that you still expect to pay a 500 million dividend from Talcott in early 2016, which I believe in the past you’ve said doesn’t include 2015 statutory earnings. So, given the pretty strong results you’ve seen in Talcott so far in 2015, is there a potential to take either an upsized dividend or an additional dividend from Talcott in 2016?
Beth Bombara: Yes, so that is correct. I have only included the 500 million that we’ve previously talked about. As it relates to 2015, I think what we’ve always said is we want to see how 2015 year actually ends. Through six months in June, Talcott first rate [ph] surplus is actually relatively flat once you adjust for dividends, and so what we really need to see is where we end the year. Right now we would anticipate that we would generate statutory surplus still in that 200 to 300 range, but as we said previously, kind of at the lower end of that range. But it really is going to be a function of just where interest rates land at the end of the year and how that potentially impacts reserves that we have to set. So until we end the year, we’ll evaluate where the statutory surplus is and there could then be potential, but we’re not putting that into our projections at this point.
Erik Bass: Got it. Thank you.
Operator: The next question is from Tom Gallagher of Credit Suisse. Your line is open.
Tom Gallagher: Good morning. Chris, just to start out, I just want to get a sense for the way you’re thinking about potential M&A. Would you contemplate transformative M&A, or are we talking about more modest opportunities as ways of deploying excess capital?
Christopher Swift: Tom, thanks. I would say I think our current thinking right now is more modest, adding to capabilities and product lines. And I made a point to be clear, we’re a U.S.-focused company and organization right now. So, I assume if you were talking about transformative, you were thinking maybe beyond our borders, but our intent is I think we have opportunities to capture more market share with expanded products and capabilities in our U.S. territories. But also be sensitive to maybe following U.S. customers abroad with some of their skills. But we don’t think about building international local market expansion currently.
Tom Gallagher: Okay. That is helpful. And then I just want to be clear here that the current buyback authorization, is that going to be competing with M&A when you contemplate what you’ve announced so far? So in other words if you found attractive deals that could consume some of the buybacks or do you have additional resources or excess capital that’s actually slotted for M&A?
Christopher Swift: Tom, it’s a balancing act. I wouldn’t say it’s competing. That’s our plan, that is our intention, that’s what we think is the highest and best use. And if there’s alternatives that come along, we’ll put that as far as the overall equation. But I think you know myself and Beth, we are appropriately prudent in managing the balance sheet and always have flexibility in mind.
Tom Gallagher: Okay. And I guess either Chris or Beth, just to be clear, though, your current capital plan doesn’t necessarily allocate some additional capital buffer for M&A, or am I - can you comment on that at all whether there’s something in that plan through 2016 that is allocating something that you’re now holding on to for M&A or anyway can you comment on that?
Christopher Swift: Yeah, Tom, and Beth can add her point of view. Again, how we think about it and maybe others have talked about it, too, is we said the deal needs to be strategic and make financial sense. And if we find something that from an acquisition side hits those hurdles and makes our ROI’s work, we’ll figure out how to finance it. And so I said earlier, we’ve reduced our leverage and will continue to reduce it, but we do have flexibility to figure out how we would, I’ll call it fund or finance a deal, if we found the right one. So that’s all I would say at this point.
Tom Gallagher: Okay. Thanks.
Operator: The next question is from Randy Binner with FBR Capital Markets. Your line is open.
Randy Binner: Thanks. You all discussed the A&E resolution market a little bit in your comments. Do you have any update on the annuity risk transfer market? From our perspective, it seems active. And so would be interested in any update you have on that market or should we think of Talcott as continuing to be internally managed resolution?
Christopher Swift: Randy, it’s Chris. Beth can add her point of view also, but I think right now we’re very pleased sort of with the runoff in total of Talcott. And particularly the capital that we’ve taken out. I remind you we’ve take a billion out this year and we plan as Beth said to take 500 million out in early 2016. So we understand the risk. It’s well managed. It’s well contained from our perspective. And as Beth might comment upon, we do really believe in this low interest rate environment. That does depress valuation. So these are all the things that we consider in sort of a transact versus a continued runoff mode. But Beth, what would you add?
Beth Bombara: Yeah, I think, Chris, as always, I think you’ve captured it very well.
Christopher Swift: Yeah.
Beth Bombara: I think it’s very consistent with what we’ve talked about in the past. And we are always open to the consideration of transactions, but at the end of the day, needs to make economic sense for us and where we sit today with the capital that we’re able to extract. And as Chris said, to manage the risk in that book, we feel very comfortable. But of course, we’ll always be open to other considerations as markets change.
Randy Binner: Great. And then the follow-up there is just on the withdrawals, which in the kind of the 12%, 11% year-over-year basis is good. And I think that’s kind of as some of your programs that increase surrenders are winding down. Do you have any plans to kind of continue to push new programs there to continue to accelerate the wind down of those liabilities?
Beth Bombara: Yes, as we’ve said in the past, we’ll always consider other policyholder type initiatives that could further reduce the exposure and that book of business. We’ve been very pleased with those that we’ve had in the past. As I’ve said pretty consistently is our thought process is to really be very targeted as we look at those initiatives. So we don’t have one right now in place. There is a team that consistently evaluates those to see if there’s something that could be done. But overall when we look at the continued reduction in the contract counts, we feel very good with the activity we’re seeing.
Randy Binner: And those have been well received, those plans by agents and clients? There’s been no real push back, is right?
Beth Bombara: Yeah, I mean, I think the results speak for themselves and what we’ve been able to achieve with those programs. Again, we’ve always said they’re not right for everyone, and that’s why policyholders have a choice. But as we said, we’ve been pleased with the results that we’ve been able to achieve on both the programs we’ve had in the variable annuity and the fixed annuity space.
Randy Binner: All right. Great. Thanks so much.
Operator: The next question is from Scott Frost with Bank of America, Merrill Lynch. Your line is open.
Scott Frost: Okay, thank you. From the debt side, appreciate the clarity in communicating your debt management goals. Thank you for that. But wanted to talk briefly about your junior sub issues as you may have expected. It’s topical in our world. First, with respect to the 8 and 8’s and then to the Glenn Meadows, how would you characterize the efficiency of each of these instruments in your capital stack? And I have a brief follow-up.
Beth Bombara: Okay. Thanks for the question. So again, as we’ve been talking about in the past, we are focused on reducing our overall rating agency adjusted debt to capitalization ratios, also focused on things like coverage rates and so forth. And so we really look at our capital, our debt structure sort of across the spectrum. And today as we sit here, I think that the eight teams do provide us benefit in that we do get equity credit as we look at managing that ratio. And overtime we’ll continue to evaluate the debt stack, keeping all those factors in mind, but no change in our views as to how we think about those.
Scott Frost: Okay. And just specifically for the Glenn Meadows, is it your understanding that this issue will continue to receive favorable capital treatment from NRS or Rose at the float date in 2017?
Beth Bombara: Yes, we do not expect any change in how those would be considered.
Scott Frost: Thank you very much.
Operator: The next question is from Jamminder Bhullar with JPMorgan. Your line is open.
Jamminder Bhullar: Thanks. Hi, Good morning. Most of my questions were answered, but I had one for Doug. Overall I thought the results were pretty strong, but you did have weak premium growth in the non-AARP agency channels. Just wondering what is driving that and what are you doing to turn that around? What your expectations are for that channel?
Douglas Elliot: So that part of the challenge in our personal lines area is not new to the quarter. So we have had pressure in there. We see lots of competition. There are lots of names that continue to compete in that space. I’m very encouraged. I like where our team is headed. You know we have made a couple of very important additions in the last ninety day, so I feel good about that, and I think we will be talking more about strategy through the next couple of quarters, particularly in that personal lines area.
Operator: The next question is from Bob Glasspiegel with Janney. Your line is open.
Bob Glasspiegel: Good morning, Hartford. It seems like there is a lot of deals going on right now in the marketplace, and I have never seen the Property Casualty world undergo more changes than we’re seeing today, and the glass half full is just going to create opportunities and as there this is eruption in competitors. The glass half empty perspective would be maybe you need to rethink where you are as far as scale, tax structure, technology, efficiency, etc. Where do you see Hartford in this world, and I am sure you’re going to take the glass half full preference, but maybe respond to the negative issues that some might suggest are popping up?
Christopher Swift: Bob, it’s Chris. I think you outline some good points. We think about it generally as we are entering a very dynamic cycle, and that really every company, including our own, needs to think about competitive advantages. There is really a couple of drivers that we see. One, not all the industry participants have really enjoyed the price increases that we and others have had over the last three years, and pushed so hard to maintain. Generally, lower economic growth and continued low interest rates is really has a compounding effect on companies balance sheets and ability to investment in new technology and capabilities while producing good financial results. Alternative capital is just obviously disrupting some of the reinsurance base and it’s got the potential to creep into other aspects of the market. And then very important for I think for all of us is that distribution in our agents and broker partners are really going through their own form of industry consolidations, which ultimately means in my judgment that fewer carriers are going to be on panels. And brokers and agent will continue to look for those companies that have the most to offer for their clients. So I think the table stakes are higher to sort of meet the requirements of today. Ultimately as a national company, Bob, with a lot of great strengths, brand reputation, capabilities, new energy and vigor around it. I’m very optimistic of our ability to continue to compete and have competitive advantage to drive shareholder value going forward. So it’s probably not any one of those things. It’s probably all of it that we’re trying to-- I’ll call it manage for outcomes that we think are best for our shareholders and ultimately our employees and customers.
Bob Glasspiegel: That’s a very fair answer. Is the pivot to M&A recognition that scale is going to be increasingly important and you need more volume to do the technology spend that you are signaling is necessary?
Christopher Swift: Yeah, I would say in and by itself, scale is not a driver. If you really look at our words and really what we’ve talked about here is adding new capabilities that we don’t have today or areas of the market-- the risk taking market. We’d like to participate more in. I’m sorry, I think that is more of an immediate focus, but you make a good point. Scale helps out, too. Obviously from an expense and efficiency side. And if you look at, at least one big deal that happened in New Jersey not too long ago. I mean, and we really think it in terms of it will over a longer period of time be a very compelling transaction that drives down unit costs, has greater tax efficiency, has a greater capital base to potentially take on risk. So those are all the things that we’re very well off.. But we also know what we’re focused on and particularly our segments of the market that we think we have great competitive advantage in.
Bob Glasspiegel: Fair answers. Thank you.
Beth Bombara: Thanks, Bob.
Operator: There are no further questions at this time.
Sabra Purtill: Thank you, Chris. I’d like to thank you all for joining us today and for your interest in The Hartford. Also want to note that Beth Bombara will be attending the KBW insurance conference on September 9th and we hope to see you all there. If you have any follow up questions, please don’t hesitate to contact either Sean or myself today by phone or email. Thank you and so long.